Søren Skou: Good morning, everybody, and thank you all for listening in to our Earnings Call for the Third Quarter and First 9 Months of 2020. My name is Søren Skou, and I'm the CEO of A.P. Møller - Maersk, and I'm joined today by Patrick Jany, our group CFO. So let me start by saying that we are satisfied with our third quarter results. And we're also proud of the fact that we have been able to continue to improve our financial results and continue to transform the company into a global container logistics company under the very difficult circumstances of the COVID-19 pandemic, which has, for us, meant lower volumes, global work from home, plenty of contingencies in ports around the world. We believe we are demonstrating that we are set out on the right strategy at the end of 2016 and that the disciplined execution ever since is starting to really deliver results. The work we have done in our Ocean segment with the 2 revenue lines and the tools we have developed there to be agile in capacity deployment, the acquisition of Hamburg Süd, which has provided us with scale and competitiveness, our continued focus on profitability over market share and disciplined approach to CapEx and the development of unique and differentiating digital products such as Maersk Spot is really paying off. And all of that has meant that we are able to deliver a better results even when the volumes are down, as we expect them to be for the year in 3% to 5% for the full year. Also, we are starting to have material growth in our Logistics & Services business, and you can see it in our results now. And all the work we have done on costs, in Terminals & Towage is enabling that we can deliver better results also here despite the fact that volumes are down. We believe it's an excellent quarter with not only solid results in Ocean, but also good growth in Logistics & Services that further highlights our strategic transformation, and that it -- has started to show in our financials. Due to supply chain disruptions of COVID-19, our revenue declined 1.4% as volumes were down close to 4% with organic volumes decreasing in most segments, however, slightly better than what we initially expected for the third quarter being a mid-single-digit decline. Despite the negative development in turnover, our results continued to improve. The third quarter was the ninth consecutive quarter with year-on-year improvements in operating earnings. EBITDA was up 45% at DKK 2.4 billion before restructure costs and 39% to USD 2.3 billion, including restructuring cost of USD 105 million. The strategy is working, as I outlined, but we also enjoyed tailwinds after a very difficult second quarter. Despite this fact that we are still in the middle of the pandemic with continued high uncertainties, we have seen a strong recovery in demand within transportation and logistics, which has led to equipment shortages, both containers and vessels at selected trades, which has been a supporting factor in the freight rates in the short term. At the same time, the oil price decline has had positive impact on our cost base. And these external factors have benefited our financials, although we have lower market share in geographic areas where the volumes and rates have performed the strongest in the third quarter such as the Pacific trade. The tailwinds from rates and volumes are accelerating into the fourth quarter. And when combined with the strong execution of the strategy, we now expect to deliver a Q4 which is stronger than Q3. And this is unusual and not our normal seasonality, but it has enabled us to upgrade our expectations for the full year to between $8 million and -- EBITDA of between $8 billion and $8.5 billion as announced yesterday. We are also making progress on our transformation. In September, we announced initiatives to close Damco freight forwarding and merge our airfreight forwarding and less-than-container-load business into the Maersk brand to further improve the customer experience and end-to-end service delivery. We are closing down the Safmarine brand and integrating that into Maersk to enhance customer service and we are further integrating the back offices of Maersk and Hamburg Süd, while we will continue to go-to-market as 2 separate brands with a differentiated service model. As a consequence of this, we unfortunately have had to say goodbye to 2,000 colleagues, and we have taken, in the third quarter, a restructuring charge of $105 million of which $40 million is in Logistics & Services and the remaining in Ocean. On the financial performance, we have continued to build on our foundation with improved profitability across all segments, which combined with our focus on capital discipline, has led to a free cash flow generation of $1.5 billion in Q3 and $3 billion for the first 9 months. This has continued -- allowed us to do 3 things in this quarter, continue to delever the company, acquire KGH Customs Services and to do share buybacks. It is worth noting, to put this into context, that when we acquired Hamburg Süd in 3 years ago in December of 2017, our net interest-bearing debt topped at USD 24.6 billion, which we have now reduced to $10.8 billion, including lease liabilities. In light of the development, today, the Board of Directors of A.P. Møller - Maersk has decided to initiate a share buyback program of up to -- of $1.6 billion over a period of 15 -- up to 15 months, starting on the 1st of December. The first phase of the program of around $500 million will be executed under the authority already given to the -- at the AGM in 2019, and the rest will have to be authorized at the next AGM, which the Board will propose. The decision to initiate a new share buyback round is supported by both strong earnings and strong free cash flow in 2020. And this, I also want to say that this is the last distribution from the proceeds from the sale of Maersk Oil or the shares in Maersk Total from the sale of Maersk Oil. In total, the share buyback program announced today, we will distribute close to $3.4 billion or 75% of the initial value of the shares in Total S.A. Now on Slide 5, the strong trend of improving earnings continues. Returns and cash flow have improved steadily year-over-year over the last 9 quarters. Return on invested capital were 5.9% last 12 months. And our ROIC in the third quarter was 11.3% annualized, up from 6.6% in the second quarter. Free cash flow before distributions to shareholders and acquisitions was $3.8 billion on a last 12 months basis. Along with the strong cash flow generation, we kept our capital discipline, which enabled our cash return on invested capital to reach almost 14% in the last 12 months. And given our guidance today, it's also clear that we expect to make it 10 quarters in a row where we continue this very strong trend. And I think this is one of the things that we had -- take particular pride in the fact that we're generating a lot of cash, and we will continue to do so.  In the third quarter, while we kept improving our financial results, we also continued our transformation strategy. Revenue in our infrastructure and logistics activities increased by more than 5% despite being negatively affected by COVID-19. EBITDA in Logistics & Services grew by 71%. The improvement in profitability was mainly driven by the acquisition of Performance Team and higher earnings in intermodal. And if we compare our performance in Logistics & Services in this quarter, we have been able to grow both our top line and earnings significantly above the average of the industry, confirming the strategy, including the acquisitions we have made. We completed the acquisition of KGH in September, and the integration is progressing as planned and contributed with a minor positive U.S.-dollar amount to EBITDA already in September. With this, I will hand over the microphone to Patrick, who will take you through the financials and the segments. 
Patrick Jany: Thank you, Søren, and good morning to all from my side as well. Turning to Slide 8. We can see that profitability improved significantly during Q3, with the net result rising from $520 million to $947 million on year ago. The improvement came from all segments despite the decline in revenues as a consequence of lower volumes and can be mainly attributed to a strict focus on costs. Overall, operational cost for the group decreased by almost $800 million compared to last year. In absolute values, Ocean improved the most by more than $500 million driven by better cost performance and freight rates. Logistics & Services increased more than 40% driven mainly by intermodal and Performance Team, while the other segments, Terminals & Towage and Manufacturing, proved their resilience and increased profits despite very adverse conditions. Overall, our EBITDA increased to 39%, leading to an EBITDA margin of 23.2% compared with 16.5% last year. Consequently, EBIT increased 75% to $1.3 billion compared to $737 million in Q3 2019, leading to an EBIT margin of 13% compared to 7.3% last year. The EBIT in Q3 equaled the EBIT in the first half year. The other positions had a fairly small impact on profitability and mostly offset each other. Taxes increased given the higher profit base and some adjustments of tax provisions and tax assets. When adjusting for restructuring costs, the underlying profitability was even more significant, with underlying net results more than doubling to $1 billion compared to $452 million in the previous year. Now turning to Slide 9. We see the strong cash flow was the financial highlight of the quarter. Cash flow from operation was strong, improving 26% to $2.2 billion, on the back of an increase in EBITDA of $641 million despite of a small deterioration in net working capital of $108 million. Cash conversion was still high at 95% compared to 105% last year. Free cash flow in the quarter was $1.5 billion after considering capital lease installments, gross CapEx, net financial expenses and received dividends. We absolutely maintain our strict capital discipline. And for the year 2020, we expect CapEx in the range of $1.5 billion and our future contractual commitments of $1.5 billion. For the 2 years of 2021, 2022, we expect the cumulative CapEx to be between $4.5 billion and $5.5 billion, which is below depreciation levels. It is therefore clear that we will maintain our strict approach to capital allocation in the years to come, focusing on generating a strong free cash flow while maintaining our terminals and fleet and replacing some smaller older vessels and purchasing, more than leasing, containers given the economic advantage. We will expressively refrain from adding capacity. Free cash flow generation after CapEx and lease installments is and will continue to be the key priority. Now looking at the use of cash, we have, as mentioned, made the acquisition of KGH Customs Services, bought back shares to a tune of $98 million and chose to repay debt in the quarter of $810 million due to the strong cash position. We thereby paid back some of the COVID-19 additional liquidity reserve we took in Q2. The improved free cash flow led to a decrease net interest-bearing debt of $800 million in the quarter to $10.8 billion. It is worth mentioning that excluding these liabilities, net interest-bearing debt equals just $2 billion compared to $3.1 billion at year-end 2019. The strength of the cash flow over the last 2 quarters, combined with the reduction in debt, is also reflected by the upgrade in outlook by both S&P and Moody's. Let us now turn to the business development and start with Ocean on Slide 10. Revenue in Ocean declined 4.1% due to declining volumes of 3.6%, as COVID-19 still had negative impact on demand. However, the volume decline was slightly lower than expected and the cost base continued to improve significantly due to the continued agile capacity deployment, leading to a record-high utilization and lower bunker prices. This, combined with improved freight rates, led to a 39% increase in EBITDA and an EBITDA margin of 25.4%. As a further step in our strategy of improving customer experience and improving efficiency, we initiated step to simplify the organizational structure even further by integrating Safmarine into the Maersk brand and by bringing the back offices of Hamburg Süd and Maersk close together. As a result, we recognized a restructuring cost of $65 million in Q3. Further progress was made in offering digital solution to our customers like Twill and Maersk Spot. Maersk Spot, in particular, gained further traction.  On Slide 11, we have illustrated in a waterfall bridge, the movements in EBITDA compared to previous year. As you can see on the graph, the decline of volumes of 3.6% had a negative impact of $155 million, which compared to the last quarter, where the impact was negative $634 million, is less than expected. The impact was more than compensated on the one hand by the freight rates benefiting from a strong short-term environment, offsetting downward price adjustment on contract rates for a net impact of $284 million, and on the other hand, by a lower bunker price, which amounted to $312 million. Through agile deployment of vessels, savings increased by 8.6% in Q2, matching the demand fluctuation while also improving network utilization against last year in Q2 2020. Looking ahead, we will continue to pursue an agile capacity deployment strategy to ensure we support our customers and, at the same time, are able to protect earnings and cash flow in case we see changes in demand patterns or strong fluctuations of demand. The agility led to a decline in container handling cost of $90 million and a decline in network cost and bunker consumption of $98 million. SG&A costs increased mainly as a result of restructuring costs of $65 million. The combination of controlled costs, fast and flexible capacity deployment, higher freight rates and recovering volumes ensure the significant improvement of profitability in Q3. We currently see this good earnings momentum continuing into Q4, as also reflected in our revised full year guidance. Turning to Slide 12. Our average freight rates increased by 4.4% in the quarter driven by higher short-term freight rates driven by volatility in demand and vessel and equipment shortage. When we talk about freight rates, you need to remember that we recognize revenue as the container is being transported, so based on voyage days on the water. This means that if the voyage is 30-days long and only a few of those days are in 1 quarter, the rest is in the following quarter, we will recognize a smaller part of the loaded freight. That means that the strong rate development we saw by the end of Q3 will only impact our revenue and P&L in Q4. Our contract rates decreased as we continue to lower the BAF element to the contract rates as a consequence of the lower bunker price and maintain our focus on facilitating our customers' supply chain and helping our long-term customers meet their requirements through offering additional flexibility in those difficult times in line with our strategy. Total volumes decreased by 3.6% as especially backhaul trades contracted, which was partly offset by strong volumes on the Pacific. Latin America, an important region for us continued to be very negatively impacted by COVID-19, with volumes declining 13%. For October, we continue to see a recovery in demand, with volumes being up or slightly above previous year particularly driven by the Pacific and some recovery in Latin America. Going into the third quarter, where we saw volumes recovering, we have carefully matched capacity deployment and demand to the best of our ability. This has meant that our operational costs declined by 13%, supported by lower bunker costs. Unit cost of fixed bunker declined by 2.9% as a result of tight capacity management and higher utilization. It is key that we keep focusing on our cost base by using the active deployment strategy and we are quite satisfied with the development of our overall cost performance. The increased demand compared to the second quarter meant that a very few vessels were idle by the end of the quarter and that we managed to increase the utilization to a record level close to 96%. Bunker cost also took a significant drop in -- declined by 34% driven by bunker price decreasing 29% to $290 per tonne and high utilization. The bunker efficiency worsened by 0.8%, which was mainly driven by a marginal increase in network speed. It's also worth to mention at our reliability was negatively impacted in the quarter as a result of the volatility in demand. In many ways, COVID-19 has changed the way we operate in our customers' needs, especially in the digital space, where all e-commerce and digital products have seen an acceleration. And one example is our product Merck Spot, as shown on Slide 14. Maersk Spot continued to gain momentum and accounted for more than 53% of the Maersk brand short-term volume, up from 24% pre-COVID-19. Maersk Spot provides space and equipment, guaranteed at the time of booking to our customers, and this allows us to better optimize our network and utilization of our assets. More than 80% of the volume is booked by forwarders, which is largely the same share as our volumes as before we introduced Maersk Spot. We have, therefore, not lost any material forwarder volumes while introducing Maersk Spot. On Slide 15, we turn our attention to Logistics & Services, which, despite the negative impacts from COVID-19, reported an increase in revenue of 11% driven by supply chain management and the acquisition of Performance Team. Gross profit increased 35%, with gross profit margin improving 4.4% to almost 25% and EBITDA increased 44% to $131 million. The increase in profitability is led by intermodal, airfreight forwarding and warehousing and distribution. As part of our strategy to improve customer offerings and improve competitiveness, we also recognized a restructuring cost of $40 million as we have closed down the Damco brand and integrated the airfreight and less-than-container-load business into Maersk Logistics & Services. The acquisition of KGH Customs Services closed in September, and the integration is progressing as planned with KGH contributing positively to EBITDA already in September. Slide 16 shows the development of gross profit and EBIT conversion in our Logistics & Services segment, which has shown a clear improvement in the last year, supported by margin optimization in intermodal, a spike in airfreight forwarding and significant progress in warehousing and distribution, the latter led by the acquisition of Performance Team. Our EBIT conversion improved in the third quarter to 21.3%. As you can see on the graph on the right, we now have a nice constant progression of our gross profit and EBIT conversion, and we continue to work on improving this through growth and cost efficiency, including implementation of new IT platforms. Performance Team contributed with $58 million to gross profit and $24 million to EBITDA in the third quarter, a significant uplift from Q2 2020. The integration is progressing well as we are already now seeing commercial synergies towards our Ocean customers because of our expanded offering of warehousing and distribution services in North America. We continue to broaden our customer offerings, particularly in the digital space. And in July, we introduced Maersk Flow for the small and midsized customers and partners to take control of their supply chain from factory to end customer. On Page 17, we turn to Terminals & Towage, where EBITDA increased by 4.1% despite revenue declining by 2.3%. The improvement was driven by both businesses. EBITDA in gateway terminals increased to $274 million, and the EBITDA margin increased by 2 percentage points to 34%, while EBITDA in Towage increased close to 4%, mainly due to lower cost. Turning to the next slide, we have visualized the effects from volumes, revenue and costs on EBITDA of gateway terminals. Volumes declined significantly on a like-for-like basis, given the impact of COVID-19 as a consequence of a large exposure to Latin America, which has been strongly impacted by the pandemic. The volume impact varied across regions, with Latin America impacted the most with 11% reduction and Europe significantly down as well by 9.2%. North America decreased slightly, while volumes in Asia and Africa and the Middle East increased by 6.6% and 3.1%, respectively. As our -- as in our Ocean business, we also saw bottlenecks in our terminals business, especially in the U.S. and we are also exposed to a larger degree to the North-South trades, which have not experienced the same spikes as on the Pacific. As a result of the decrease in volumes, utilization declined by 13% to 71%, which had a negative impact of EBITDA of $36 million. However, this was more than offset by, firstly, an improving mix, which means that our volumes declined the least in the most profitable ports. Secondly, because of the challenges to the global supply chains, the quarter saw more storage income with positive contribution to EBITDA. And thirdly, we have managed to work on the cost base, for example, on SG&A, which had a $28 million positive impact. Lastly, the consolidation of Pipavav contributed significantly to the EBITDA as well. On Slide 19, we show the equity-weighted EBITDA for our gateway terminals, both consolidated and JVs and associates, which was largely on par with last year. This further underlines the stability of earnings of this business. The cash contribution through dividends in the last 12 months had been $189 million or 34% of the EBITDA with a payout ratio of 95% of net result. Turning to Manufacturing & Others. We reported a 2% increase in revenue in Maersk container industry and a 21% increase in EBITDA. This is partly due to the high demand in reefer containers and cost reductions. Maersk Supply Services has suffered due to a tough environment in the oil industry, however, has done a great job improving the EBITDA to $13 million from $4 million in Q3 2019. With that, I will pass the word to Søren for the full year guidance.
Søren Skou: Thank you, Patrick. And as already stated yesterday, we upgraded our guidance to 2020 from $7.5 billion to $8 billion EBITDA to $8 billion to $8.5 billion driven by the very strong momentum we have right now in Q4. Nevertheless, we still expect global demand growth to contract for the year of 4% to 5%. And we expect our own organic volume growth in Ocean to be below the market growth. We saw further improvement of volumes in October, and we expect the fourth quarter that we would be roughly flat compared to this fourth quarter of 2019 in terms of volumes. Now in terms of capital expenditures, as Patrick has already been discussing, for 2020, we expect to be in the range of $1.5 billion, with the expectation of a very high cash conversion from EBITDA to cash flow. We expect to stay within -- well within the original guidance we gave for 2020 and 2021 of $3 billion to $4 billion when all is said and done in 2021. For the years 2022 to -- '21 to '22, the accumulated guidance on CapEx is expected to be $4.5 billion to $5.5 billion, again, with the expectation of a high cash conversion. When comparing the CapEx guidance for '21 to '22, it's important to highlight that we have postponed some CapEx from 2020 into 2021 and we will continue to be capital disciplined. Our CapEx level is still below depreciation levels, and it includes investments in containers and vessel replacement and automation in our container terminals. We remain committed to operating a network of around 4 million TEU. I also want to emphasize, we have all the Triple-E ships that we need for the foreseeable future. Even though we expect volume growth in the coming years, we will only be back to 2019 levels, probably, in terms of volumes in 2021. So we do not see a huge need for growth -- growing the capacity. We have replacement needs because our ships do get older every day, but that will be in the 10,000 to 15,000 TEU size, where it's not cost-effective to charter vessels. And then one final thing on ships. There's a not -- it's not a trivial technology risk that we are facing right now. We are working hard to find solutions to the decarbonization issue. And buying ships today that you get delivered 2 years from now and that last for 25 years is a risk when we do not know exactly what fuels that we'll be using from 2030. So for all of those reasons, we are not anywhere near a huge ship order. We need to replace, we need to invest in automation in the terminals. And also, we need to probably own more of the containers than we do because it's simply much cheaper for us. So with that, we will open up for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Dan Togo from Carnegie. 
Dan Togo: A question on growth potential in '21 because, as you mentioned, Søren, you're almost sailing at full capacity right now, and you will not expand the fleet. How should we view your growth and potential to grow in next year? Will that come from just execution in the network and improving efficiencies? 
Søren Skou: Well, we had enough capacity in 2019 to carry the volumes. And if we assume that we will get into the same level of volumes next year, that would be a very nice growth from this year, up 4%, 5%, but within our 4 million TEU of capacity, give and take, then we will also have space to support our customers. We continue to work with network design on top of that to -- with the objective, of course, of squeezing more sellable slots out of our 4 million TEU of capacity by designing the network better and getting even better at utilization also. 
Dan Togo: Okay. Then a question on how we should view rates then. I know it's a bit premature maybe to guide, so you shouldn't probably do that. But maybe just to get a feeling of contract rates. I guess clients have been extremely happy for their contracts this year and probably will pay up a bit for maintaining or even expand the contracts, the volume on the contracts, in '21. But looking back historically, in history, what is the volatility around these contracts? Can they go up 10%, 20%, 30%? What is sort of, say, the frame here? That's one thing. And then how should we review spot rates that are in our historic high throughout '21? I guess the current rates at these levels are probably not sustainable. We are now hearing both governments, Chinese and also client organizations starting to complain. 
Søren Skou: So I'm not, Dan, going to go into a 2021 guidance discussion. We will do that when we get to February. All I can say at this point is that we do indeed expect freight rates in the contracts to go up when we go through the contracting season over the next couple of months. 
Dan Togo: Okay. And then just finally, a question on Latin America. I hear you saying they're improving a bit here in October. So what -- but is that rates or volumes? And I guess capacity has been taken out of the LatAm trades into the more attractive trades in '20, but are you also seeing volumes starting to improve in LatAm now? 
Patrick Jany: Yes. It's Patrick here. Yes, indeed, we are indicating that we see some progress in Latin America. It started late in Q3 and is confirmed now in October. That is slightly increase. We are still in negative territory compared to previous year, but it's starting to improve as clearly, we in Q3, we reallocated traffic to where the bottlenecks were, but I think we are able to also dedicate capacity to catch up on our strong hold of Latin America. And we look forward to this region progressively restoring its volumes, but we are not yet there.
Operator: And the next question comes from the line of Patrick Creuset from Goldman Sachs. 
Patrick Creuset: Congrats on yet another strong set of numbers. I'd like to ask 3 questions, please, and will give them one by one. Just to come back on the Asia-Europe contract point, I understand you don't want to guide for next year, but perhaps if you just draw on your historic experience, is there a reason to think there would be a disconnect between the current -- or the sort of the spot rates around the turn of the year and where the Asia-Europe contracts are being reset? Or is the relationship typically quite close? 
Søren Skou: I don't think I can say much more, Patrick, than we do expect increase in rates also in the Asia-Europe trade. The market, of course, always is -- the contract market is always impacted by whatever the spot market is at the time of negotiation, it goes without saying. And you can also see, of course, that the CCFI index has gone up quite a lot. So we expect to see that flow into higher contract rates also on Asia-Europe.
Patrick Creuset: Very clear. And second question is just on the balance sheet. I mean if I look at probably $7 billion or so of cash at year-end, $8 billion of financial debt against that, what's the scope to make the balance sheet a bit more efficient into next year, and therefore, there is kind of magnitude of reduction in net financial charges next year? If, on the other hand, we wanted to keep most of the growth that -- then, what would keep you from returning significantly more cash through buybacks in the course of '21?
Patrick Jany: Yes. I think as you rightly mentioned, I mean, the focus on the cash flow generation, right? So we'll continue to focus on free cash. We have an improved situation here. You have seen the rating upgrade by S&P and Moody's. We're not yet totally where we want to be from that point of view. So I think there's still some way to improve to be a sub BBB, particularly in the case of Moody's. In terms of use of cash, we have indicated now first share buyback. So that is a clear sign that we also always think of returning cash to shareholders. You should also consider our dividend policy, clearly, which has been installed. And if you look at the net result evolution, that will certainly imply as well quite a significant dividend cash out for 2021. So that takes cares, in our view, of the return to shareholder at this stage. And then obviously, we have, as we mentioned, the normal CapEx, we'll also repay some debt still in 2021. So there will be plenty of uses of cash, and we'll continue with smaller add-on acquisitions in Logistics & Services to grow that business as well.
Patrick Creuset: Got it. And last one, just looking at the logistics results. On an underlying basis in the third quarter, you're -- they look very strong. And if you extrapolate that on a full year basis, they become quite a meaningful contributor. If you think about the EBITDA split in the coming years, I mean, what's sort of your ambition in terms of how big a contributor logistics should become? And how much of that would you look to drive through external growth?
Søren Skou: Yes. First of all, Patrick, thanks for noticing the growth in our logistics earnings. We are quite pleased with it. It's up, I believe, 88% when we adjust for the restructuring charge driven both by higher margins, meaning that we now have margins which are comparable with many of the better players in the industry, but also with a little bit of top line growth. So we continue -- we will focus on growing that part of the business. We do believe that we have an opportunity for growing significantly faster than, if you will, organic, than the market is growing by simply by selling more services to our customers. And then we will add to that with bolt-on acquisitions like we have done this year. It's too early to -- for us to actually articulate a target. We hope to be able to do that next year where we will be more confident to do that. But this part of our business in our strategy is designed to become our growth engine.
Operator: And the next question comes from the line of Lars Heindorff from SEB.
Lars Heindorff: Also a few questions from my side. The first is regarding the Ocean part and the capacity plans. You had around about 100,000 TEU idle during the third quarter. And it sounds like that you, along most of the other competitors, are activating as much as you can, given the demand that is out there in the market. So can you give us an indication about the capacity and how much idle you expect to have going to the fourth quarter and maybe also into the early parts of next year? That will be super helpful. I mean it sounds like you will still be at least fairly cautious in your capacity plans. 
Patrick Jany: Yes, thanks for your question. I think as we've highlighted in the report, we basically have very, very low idle capacity. I think it was less than 2.6%, I think, in Q3. Given the pattern of demand, we expect it to be very, very low. Looking forward, we are basically just looking at optimizing the network and being able to cope to the volumes, probably we should be covered to a 90 level in 2021. As Søren mentioned before, we have no plan to increase capacity from the 4 million TEUs that we have today and that remains like this. 
Lars Heindorff: Okay. And then on the speed of the business, you indicated that you have increased the speed, which makes sense, given demand and lower bunker prices. Can you indicate how much? And is this something which you expect that will continue?
Patrick Jany: Yes, the impact is really marginal, right? So it's just a matter of having high capacity utilization and trying to improve a little bit the reliability, which has suffered as well in this high volatility of demand. We try to accommodate here and to satisfy the demand of our customers, but it's a marginal effect overall. 
Lars Heindorff: Okay. And then the last one is on the CapEx. I hear what you say about the need to invest both in containers and also, at some point, new vessels since it's, after all, quite a while since you've been doing that. But how much of that is, can you give us an indication, will be spent on buying containers roughly?
Patrick Jany: Yes. I think we have indicated a range, right, for 2021, '22, and that indicates that we will take those decisions as they come. It depends on the market price. Currently, it looks like that's our assumption for this guidance that we will effectively be purchasing much more containers than leasing, and therefore, a bit reversing what we have done the last few years. The exact proportion will come as we go along in 2021 and '22. But it explains quite a bigger part of the increase of the guidance.
Søren Skou: Maybe I can just add here. Maybe I can just answer. I think -- I really encourage you to look at our free cash flow more than the CapEx. I mean we're saying again and again, we're going to be disciplined on CapEx. But there are 2 parts to it. There's the CapEx that we spend, and then there's the leases. And we could have lower our CapEx a lot by leasing everything, ships and containers. And -- but it's just not the economic -- economically best things to do because if we're getting assets that we are going to use for the full life, then it's much cheaper for us actually to own it. So what is really important is how much free cash flow we generate, not what the specific CapEx number is because that is an optimization between leasing and owning. 
Lars Heindorff: That's very clear. Just to follow up. The share Spot, you mentioned that is up to now 53% of the short-term volumes. Maybe I'm not fully up to speed, but I'm not sure just how big a proportion of your total volumes which is short term. Can you indicate how big Spot is out of your total volumes?
Søren Skou: So for the Maersk brand, which is then excluding Hamburg Süd and SeaLand, our total Spot volumes are about half of the total volumes. And so for the Maersk brand, we are looking at, right now, at 25% of our total volumes that are moving on spot. That's a very, very significant -- that's 25% of, what, 200,000-plus FFE per week. So it's -- in that order of magnitude. We are not equally advanced in the other brands, but we are getting there.
Operator: And the next question comes from the line of Neil Glynn from Credit Suisse. 
Neil Glynn: Just following on from the CapEx question. Just to check, the -- in the 9-month period, the lease payments were higher than CapEx. As you make the decisions you've touched on, should we see any change in that as we move into 2021 in terms of the actual lease payments through the cash flow statement falling or at least not growing? I'm just interested if you could also provide some clarity on the flexibility within CapEx should EBITDA disappoint from current levels. Then a second question, on the Logistics & Services business. You've obviously bolted on 3 businesses or you will do at least with it when you acquire KGH, and you will do more, as you touched on, but I assume that ultimately produces a collection of IT platforms that might be somewhat complicated and in need of simplification. So I'd love to understand what your long-term thinking is on how to effectively wire that division properly. Will there be a big IT project eventually? Or how do you think about it?
Patrick Jany: Yes. Thanks, Neil. I'll be happy to take your questions. On the lease, you see that the -- actually the quarterly expense is actually fairly stable at around $400 million every quarter, $397 million, I think, in Q3. That is stable compared to previous year. As we go and improve or increase a little bit the proportion of CapEx versus lease, you'll see this amount decrease slightly over the years to come. And I'll keep it at that. I think we can come back to a more detailed guidance when we come up with the 2021. But that's the tendency, clearly, that you will see. In terms of our reaction should EBITDA deteriorate on CapEx, I think, clearly, the focus, as Søren was saying and we mentioned as well in the call earlier, the focus is free cash flow, right? So if free cash flow comes down, we have to have measures to increase free cash flow, and that will imply reduced CapEx and further measures to improve EBITDA. 
Søren Skou: Yes. Maybe I can just add to that, what Patrick already said. We only have $1.5 billion of committed CapEx -- forward-committed CapEx. So by that, we have a huge flexibility. I mean none of this -- almost none of the what we have in plans, we already committed to, so we can decide not to do it if things change materially.
Patrick Jany: And coming to your second question on L&S, you're absolutely right. It's a key vector of growth and increases profitability at good levels, so the contribution is really becoming noticeable and important for the group. It implies, however, very different lines of business, which have come with the different IT systems. And as we purchase additional add-on acquisitions, they all come with their legacy systems, which is why we have a major initiative already ongoing, to your point of building new IT platforms, which is terribly important to enable and integrate the services we offer to our customers. The whole point is, here, to build the integrator, which is really creating transparency on demand and cost and service delivery levels throughout the whole group. That implies new IT systems, which are currently being built. So this is not something which will come on top. It is currently already a major effort in the group and will continue to be for the next few years, but it's already a part in our cost base to that aspect of your question. 
Neil Glynn: And then just to confirm on that, is there more of that through CapEx or OpEx at the moment, the IT spend? 
Patrick Jany: Vast, vast majority is OpEx. 
Operator: And the next question comes from the line of Sathish Sivakumar from Citigroup.
Sathish Sivakumar: I have 2 questions. So firstly, on M&A. Do you see any opportunity in the Ocean segment, especially with stat liners currently out in the market? And secondly, on the CapEx, in terms of your new orders for replacement vessels. So what is your preference in terms of vessel type, like LNG versus dual-fuel or go with the scrubber-fitted vessels?
Søren Skou: So first of all, on M&A, if your question is whether we are going to acquire in the Ocean space, then I think I can say that we have absolutely no plans of. With the acquisition of Hamburg Süd, we believe we achieved the scale and competitiveness that we needed to be successful in Ocean for quite a while, if you will. So we do not have any plans in -- to participate further in consolidation in Ocean. In terms of vessel types, we, as I said, we are very much aware of the technology risks for ordering ships at this point. We would ideally like to figure out, and that's what we are working very hard on, what the future fuel should be and then start building ships that will fit or fit that type of fuel when we need them. We are not -- we don't believe that LNG is going to play a big role for us as a transition fuel because it is still a fossil fuel. And we would rather go from what we do today, straight to a CO2-neutral type of fuel. But that will be years out in the future, I suspect.
Sathish Sivakumar: Yes. And just on a follow-up on that, right? So -- but in the near term, there is no other alternative that is available right now. So the options are -- it must be 1 of those 3 vessel type, right? And do you have any preference? You said LNG, you're not keen on. So is it fair to assume that it will be more of a dual-fuel-type vessels?
Søren Skou: Since we're not really planning to order any ships anytime soon, frankly, we haven't really made up our minds on that question.
Operator: And next question comes from the line of Marcus Bellander from Nordea.
Marcus Bellander: A question on volumes. You're underperforming the market quite substantially when it comes to volume growth. And there is, of course, a strong mix effect. I'm wondering if there is anything else that explains that underperformance. You did mention that you haven't lost market share with freight forwarders, but we've seen some news articles about how Schenker has left Maersk, for example. So I'm just wondering if you can elaborate a little bit on that dynamic.
Søren Skou: But we have -- our relative share of freight forwarding business has been constant for the last 5 years. And when I look at our freight forwarder customers, the Net Promoter Score, so our customer satisfaction is on par with the rest of our business. When I look at the Spot product, it's a forwarder product, more than 80% of the customers are forwarders, and we've seen fantastic uptake. So I think all we can say is that, as any other business, you win a customer every now and then, and you lose a customer every now and then. And so we are very comfortable with our position with our freight forwarder customers. So I ascribe the slight market share loss in Q3 mainly due to mix, where obviously the carriers that are mainly exposed to the U.S. have had a fantastic quarter. Where -- we are underweight in the U.S. now it looks like, if you will, the party is coming to where we are overweight or equal weight in Asia-Europe and Latin America and so on. So we will probably, relatively speaking, benefit from that in Q4.
Marcus Bellander: Understood. And one more question, if I may. I think I heard you say that you wanted to own more of the containers you use. But I was under the impression that you already own a fairly large share of your containers. If you could just indicate how many containers or what share of containers you already own and what kind of CapEx we should expect from buying more containers.
Patrick Jany: Yes. No, clearly, I think we own quite a lot of our own containers, particularly in the reefer segment. But what we indicating here is the orders for new containers where, in the last few years, we have focused on going more for leasing, and we are coming back to what is actually the standard case, to own the containers because economically, it just makes much more sense to own.
Operator: And the next question comes from the line of Muneeba Kayani from Bank of America. 
Muneeba Kayani: Yes. On Maersk's part, what is -- what are you targeting in terms of the percent of volumes that would be done on Spot? Could it be 100%? And can you talk about what's the progress on the other brands? And my second question is around vaccine transport. And is that something that Maersk would be involved in?
Søren Skou: Yes, if I take the latter first, we expect to be involved. We already have one contract for transportation of 1 billion doses of vaccine. We will be involved in it because we think we should -- we -- that all that work in logistics should do everything they possibly can to help distribute the vaccine in the most efficient manner. I don't think it's going to be a huge business for us in that sense and not something that will impact our financials as such. But we want to do whatever we can to help. On Spot, we actually do believe that we can get to very, very high percentage as far as our Spot business is concerned. At some point, of course, we have to take into consideration that it is actually a 2-way commitment product, so meaning that we are committed to load, and our customers are committed to show up. And therefore, at some point, we will run out of inventory, of slots, because we also have our contract customers to take care of. But at the end of the day, we expect to come very, very high up in percentage points. And then maybe we will develop some other digital products with more flexibility and so on. So that's where we are on the Hamburg Süd brand and so on. It's still quite early days for Spot, but we're seeing very good take-up in line with what we saw on the Maersk brand.
Operator: And the next question comes from the line of Sam Bland from JPMorgan.
Sam Bland: I have 2 questions, please. I guess the first is on this CapEx point, you mentioned it's more sort of moving from leasing to owning rather than adding capacity. I guess interested in what's changed there. Is it that Maersk's capacity to own these things outright has increased? Or is it more that the cost of leasing them has gone up over the last few months or quarters? And the second question is on obviously we look at the SCFI and CCFI and see that's very strong, but that doesn't capture every region. I'd just be interested in some comments on what you're seeing in other regions. Have they also increased or improved quite strongly in recent months?
Patrick Jany: Yes. Coming back to your CapEx question. Here, I think it's a choice of how do you spend your money and the cost of leasing because it has been low now for quite a few years, but just if you compare our financing and cash flow possibilities today, it is just reverting to the normal fact that it is economically viable to actually own the containers, particularly, you always have a good to resale value as well. And that is actually quite a nice component. So it is just a very good business case to on your own containers. Now looking at the rates. Yes, clearly, I mean the publicized rates are clearly the more Asian rates. But as you have probably noted as well in the last few weeks and months, rates have started to come up, particularly in Europe as well. And that's what we indicated in the call as well that this is not yet already in our P&L, given the way that we do revenue recognition, and that will be one element that contributes to our high guidance for Q4 because we have this latest increase in rates on the short term more to Europe, for instance, not yet in our P&L.
Operator: I will now hand back to the speakers for closing remarks. 
Søren Skou: Yes. And thank you. I would like to leave you with the following remarks. Profitability in Ocean continue to improve, supported by our strategy, but also supported by market momentum in the fourth quarter. It's very important for us to say that we are honoring our long-term contracts, and we believe we have the right geographical mix to stand very resilient in the coming quarters. We saw a very positive impact to profitability in Logistics & Services, supported by acquisitions. And -- while our Terminals & Towage business continue to report very resilient performance despite the lower volumes. We have emphasized many times on the call here, and I'll do it again, that we continue our strong free cash flow performance, and I really encourage that you focus on [CapEx] and do not get hung up on CapEx versus lease liabilities because that's really what matters. Our full year guidance was further upgraded yesterday, and we now expect an EBITDA between $8 billion and $8.5 billion driven by the strong momentum. And then finally, of course, as we already all know, we have started further distributions to shareholders, and we will also, as Patrick alluded, should be paying a very nice dividend next year. So with that, thank you for listening in, and have a good day, everybody.